Dominik Richter: Good morning, everyone. Thanks for making the time on short notice and your interest in learning more about our Q4 results as well as the strategy and outlook for 2025. Our mission is and always has been to change the way people eat forever. For the first 8 years, we pursued our mission exclusively through our activities in pioneering, scaling and winning in the large market for home cooking with our to date still largest and most profitable business line, meal kits. But food consumption comes in many different shapes and forms. Among them, many that do not rely on home cooking. And so over the last 4 years, we've successfully established a market leader in the Ready-to-Eat meals product group, scaling our brands by about 20x over this time period, while achieving AEBITDA profitability and massively improving our underlying unit economics. In addition, we've also made good progress in further diversifying our TAM and revenues with our still early stage forays into pet food, premium butchery services and most recently, into health supplements. While these are still comparably small, we're excited about these markets and the growth opportunities they offer to develop HelloFresh into a much more diversified digital native FMCG company over the next decade. Right now, we're in the middle of a transition phase that started last summer and that we flagged back then for the first time. After 2 years of profit erosion, we've started to pursue a strategy to deliberately prioritize profits over volume growth. In line with that strategy, for 2025, we are primarily focused on 2 major objectives: first, to deliver against the efficiency program that successfully started in H2 2024 and to create a step change in our customer offering for both meal kits and RTE to eventually return to growth in meal kits at superior margins and underlying cash flow generation. You will see us pursuing an ambitious road map to elevate the customer experience very meaningfully, with investments into menu choice, better value for customers and improved service levels, probably the biggest step change for customers we have ever made. The TAM a business operates in is always determined by its current offering. And if we wanted to grow beyond our current TAM, we need to change our product materially and find ways to meet customer expectations beyond our current core product, both to reach new customers and to retain a much higher share of customers for longer. Executing on our efficiency program is equally critical for short-term profitability and to create the underlying cash flows and profit pool to invest for long-term success. The short-term focus on AEBIT and free cash flow will allow us to invest in a much improved customer offering, expanding our TAM and eventually return to growth. In 2025 specifically, we will turn around AEBIT and AEBITDA performance by improving our unit economics as well as our customer level success metrics and return to best-in-class profitability and cash flow generation. This gives us the funds to invest in meaningfully improving the customer experience and eventually start scaling again with a then much improved product at better unit economics. Successful execution of our efficiency program will make any future growth more profitable. It also allows us to make these investments entirely self-financed through the strong underlying cash generation in our business. Our efficiency program itself touches several areas of the business, which in aggregate should allow us to create a stronger financial profile with double-digit AEBITDA margins in meal kits in the short term. We are confident in the success of the program, given the early results we have observed in the second half of 2024 when we started taking the medicine. Specifically, we have initiated higher ROI threshold on our marketing spend, choosing deliberately to win over fewer, but ultimately much more profitable customers, and nurture existing customer relationships better. On the direct cost side, we have seen productivity improvements across our sites and see more and more of our new DCs hit their productivity targets reliably week in, week out. We've also scaled back our CapEx levels to what we feel is more in line with the long-term targets we have in mind, and in addition are in the process of rightsizing our network to align with the future demand outlook. On the G&A side, we have simplified leadership structures, merged different regional teams and achieved headcount efficiencies. Taken together, these measures will improve unit costs, lower our fixed cost burden and have already led to a strong margin trajectory in the second half of 2024, with more to come over the course of 2025 and 2026. At the same time, this will free up the funds to drive our ambitious customer experience road map. Let's now turn your attention to our Q4 and full year results, and let me quickly start by sharing some of the highlights of our recent quarter. We started to see some great early results from our efficiency reset that we communicated last summer and which touches several areas of the business. There's a lot more to come and ultimately work its way through the P&L, but all major work streams have been kicked off and are in execution mode. Revenue growth for 2025 came in at 0.9% in constant currency, with strong growth for RTE making up for the decline in meal kits. We've seen continued strong progress around fixing our contribution margin driven by the fifth consecutive quarter in which we improved our productivity metrics. Equally important, we took the medicine and implemented a major change in marketing strategy to target higher ROI thresholds, which led to marketing coming down both in absolute and relative terms in H2 2024, very significantly for meal kits. This has led to strong AEBITDA for both meal kits and RTE. Full year AEBITDA margin for meal kits reached 9.8%, very close to our 10% midterm goal that we communicated last year. RTE had 1.6% AEBITDA margin, somewhat held back by high costs during the first half of 2024, when we were in full ramp-up mode for the new facility. Q4 results showed these trends even better. We achieved a near record AEBITDA margin for meal kits at over 14% AEBITDA margin and RTE came in at over 5% AEBITDA margin. That is a year-on-year increase of 3 points in meal kits and 10 points in RTE, respectively. This has also resulted in free cash flow per diluted share of EUR 0.42, largely in line with what we achieved last year, but significantly up for the second half of 2024 versus the second half for 2023. Finally, we have completed our EUR 150 million share buyback program and launched a new buyback program of EUR 75 million recently. Fully diluted share count is now actually down over a 5-year time frame, still excluding the new share buyback program. We delivered 114 million orders in 2024, that's down about 4% from 2023 as we focus on higher-value customers over volume growth. This focus has been more material in Q4 when the implementation of our marketing strategy change kicked in and led to a decline in orders of about 7%. The decline in Q4 was more pronounced in North America, which was 10% down than international, which was 5% down. Encouragingly, this was exclusively due to fewer new customers following the change in marketing strategy. Existing customers continue to show very robust ordering patterns. The positive year-on-year revenue growth was majorly driven by the increase in AOV over that period, offsetting the weaker order numbers. Both full year and Q4 AOV were up by almost 5%. Geographically, the U.S., North America specifically, saw higher AOV increase with about 6% year-on-year, given the presence of a higher AOV RTE share in the mix. International increased its AOV by about 3% year-on-year. Both segments benefited from lower discounts and a higher take rate in our HelloFresh and Factor marketplaces. North America, in addition through the higher-priced RTE meals lifting AOV higher than in international, where RTE is still a small share of the overall order mix. Taken together, revenue growth for full year 2024 came in at 0.9% in constant currency. In Q4, specifically, revenue declined by 3% group wide with North America posting a decline of 4% and international of 1% year-over-year, as we saw better opportunities to bank efficiencies than to invest in new customer acquisition against a seasonally weak quarter. By product group, meal kits saw negative revenue growth of 9% in 2024, while RTE still grew over 40% for the full year 2024. We expect the Q4 trends to largely continue into Q1 as our efficiency program continues and rests on decreasing marketing spend, chasing higher ROI thresholds and prioritizing profitability over volume growth. For RTE specifically, we aim to find the right growth formula that allows us to predictably and sustainably grow both top line and bottom line for many years to come. There were lots of lessons learned in meal kits that we aim to avoid in RTE. So the focus in RTE is to sustainably build our brand, continue to improve the customer offering and focus on diversifying our channel strategy so that we can achieve predictable and sustainable multiyear growth. With that, I'll hand over to Christian to comment on the cost side of the business.
Christian Gartner: Thanks, Dominik. Let me start, as usual, with the development of our contribution margin. We are on track with the consistent expansion of our contribution margin every quarter. In Q4, with a contribution margin of 27%, we have effectively caught up with the level achieved in the prior year. Key drivers for the sequential margin expansion are: number one, continued direct labor productivity in North American Ready-to-Eat; and then secondly, continued increase in direct labor productivity in North American meal kits. This is partly offset by overall meal kits volume deleverage and an initial margin drag in international from continued fulfillment center ramp-up in Germany and the U.K., as I've flagged a few times to you previously. For 2025, we are on track to continue to expand our contribution margin by another 100 basis points. Key levers for that are further direct labor productivity improvements; and secondly, a more streamlined fulfillment center network. To that latter point, we have in 2024, taken noncash one-off asset impairment charges of EUR 182 million, of which EUR 133 million landed in Q4. The related site closures have partly already been executed in 2024. The rest will largely be actioned in 2025. Let me now turn to the development of our marketing expenses. Our marketing expenses in Q4 are down meaningfully year-on-year, both on a relative and absolute basis as I previewed to you already one our Q3 earnings call. In Q4, we have decreased our marketing spend by substantial 310 basis points of revenue versus last year. Now this is a consequence of the strategy articulated earlier by Dominik and as we had already described on our last 2 earnings calls, namely, we apply strong ROI discipline to our marketing spend, which means we acquire fewer but, on average, higher value new customers. By product group, you should expect a similar trend in 2025, as you've seen in 2024, i.e., meal kits, absolute euro spend on marketing as well as a percentage of revenue will again be down year-on-year in 2025. In Ready-to-Eat, absolute and relative marketing spend will be up year-on-year as we continue to build out the brand, scale our customer base and further drive internalization of this product group. On the next page, I would like to illustrate to you the meaningful extent of marketing savings we have actioned in new kits over the last 3 quarters. Now this is also important to understand the near-term growth differential between our 2 segments. In both geographic segments, we have reduced marketing spend for meal kits very meaningfully over the last quarters. However, our cuts are more pronounced in North American meal kits. Here, we have started earlier already in Q1 2024 and implemented even more severe cuts each quarter since with year-on-year reductions in Q4 2024, amounting to 35%. Drivers for this are, in our North America segment, we are allocating significant marketing spend to the growth of our Factor brand and its customer base; and international contains some earlier-stage market where we can allocate growth spend at very attractive ROI, France being the most important case for that. Let's now have a look at our adjusted EBITDA. We have executed on what we promised to you before, i.e., we maintained our marketing discipline in Q4. We further improved our direct labor efficiency in our production, and we started to implement overhead efficiency measures. As a result, full year 2024 AEBITDA is at very upper end of guidance and above consensus with EUR 399 million. Q4 adjusted EBITDA of EUR 164 million is up meaningfully year-on-year across all operating segments and all product groups. North America adjusted EBITDA is up 55%. International adjusted EBITDA is up 16%, which means group adjusted EBITDA is up 45%, with an AEBITDA margin of 9.1% in Q4. The meal kits product group delivered an adjusted EBITDA that is up 9% and achieved a margin of 14% in Q4. Ready-to-Eat adjusted EBITDA has turned from negative EUR 16 million in Q4 2023 to positive EUR 26 million in Q4 2024. Our strong adjusted EBITDA uplift has also translated into a strong adjusted EBIT increase in the same quarter. We almost doubled our adjusted EBIT in Q4 year-on-year to EUR 95 million, taking the full year adjusted EBIT to EUR 136 million. Now quickly diving into our 2 product categories and starting with meal kits. We have achieved a higher year-on-year adjusted EBIT margin for the full year 2024 with 6.6%. In Q4, we further accelerated our year-on-year adjusted EBIT margin expansion, achieving an adjusted EBIT margin of north of 10%, but also increasing absolute adjusted EBIT in this product group. This is primarily driven by our focus on marketing ROI, but also direct labor productivity improvements in North America have helped to stabilize contribution margin. Let's now talk about the Ready-to-Eat product group. Ready-to-Eat for the full year is breakeven from an adjusted EBIT perspective, with Q4 being the second quarter in a row better than the prior year period. The significant 10 percentage points year-on-year margin improvement achieved in Q4, represents the biggest driver of our year-on-year profitability improvement for the group. Meaningful improvement in direct labor productivity versus last year is here the key driver, while marketing expenses for Ready-to-Eat remain elevated, given our investment into the brands, our rapid customer acquisition and our internationalization. Let's now have a look at free cash flow. For the full year 2024, free cash flow is broadly stable to the prior year with EUR 73 million. We achieved this despite adjusted EBITDA being down by almost EUR 50 million year-on-year and despite cash outflow from working capital towards the end of the year. Key driver to get there has been our tight CapEx discipline, where we further tightened our spend to EUR 166 million for the full year. This is a level we plan to maintain in 2025, before bringing it down further to below EUR 150 million in 2026. I would now like to move to our 2025 full year guidance. We are entirely focused on executing well on our ongoing efficiency program, whilst investing meaningfully into our product. At our CMD in 10 days, I actually want to spend some time walking you through the key building blocks of our efficiency program and the resulting targeted savings. Implication of our efficiency program is that we are accepting a temporary period of negative top line growth to fundamentally reset our margin and free cash flow profile beyond what is currently expected by consensus estimates. Now this is important also after having seen some of the notes that came out overnight. We can sustainably lift earnings and free cash flow upwards for years to come, also at a lower revenue level. In fact, it's natural that revenue will be temporarily down during that period where we're focusing on implementing those efficiency measures. Now for 2025, this means concretely, we are targeting a decrease in constant currency revenue by 3% to 8% for the full year. We expect Q1 to sit around the wide end of this range. We expect our meal kits product group to see constant currency revenue decrease by more than 10% negatively annually, where growth in Q1 is expected to be around mid-teens negative. We expect our Ready-to-Eat product group to grow by a low to mid-teens percentage for the full year, where we expect Q1 to be at slightly below 10%. Driven by the implementation of our efficiency measures, we are targeting to expand contribution margin by circa 100 basis points in 2025 and reduce relative marketing spend indicatively by 50 to 100 basis points. This together with the implementation of overhead related efficiency measures allows us to target adjusted EBIT before impairment of EUR 200 million to EUR 250 million for 2025, a circa 65% increase to 2024 at the midpoint. This also implies a meaningful increase to our AEBITDA outlook to EUR 450 million to EUR 500 million in 2025. This increase in adjusted EBIT, combination with a broadly stable interest expense and at most flat tax payments and the broadly flat CapEx number in 2025 should also enable us to achieve a meaningful increase in free cash flow this year. To achieve the midpoint of this outlook, we on average need to be every quarter, around about EUR 15 million to EUR 20 million better in terms of adjusted EBIT and adjusted EBITDA in the same period last year. For Q1 2025, we should be on track for that. Now on this page here, I would like to illustrate further the significant increase in profitability and cash flow targeted by us. We are targeting for 2025, an increase in adjusted EBITDA of circa 12% to 25%, which by itself is higher than current capital markets expectations. This should disproportionately boost adjusted EBIT growth to circa 45% to 80% this year, and allow us to more than double free cash flow per diluted share from currently EUR 0.42. We are convinced, the long-term adjusted EBIT growth and free cash flow per diluted share growth drives our value for our shareholders. The disciplined execution of our efficiency program, our much high capital discipline introduced since 2024, and the fact that we will not grow diluted number of shares from the currently circa EUR 171 million level should enable us to grow both adjusted EBIT and free cash flow per diluted share meaningfully for the years to come, well beyond 2025. With that, we look forward to your questions.
Operator: [Operator Instructions] And the first question comes from Sven Sauer, Kepler Cheuvreux.
Sven Sauer: My question is regarding the RTE outlook in 2025. I mean you explained the deleveraging that you are planning with the meal kits, but I struggle to understand why the growth in RTE is expected to be so low in 2025. Maybe you could provide some more color on that.
Dominik Richter: So first of all, I think you need to put it into context. We've grown RTE revenue 20x over the last 4 years. We've stretched a lot our fulfillment network and the network that we had to build while flying the plane, and I think there's some lessons that we want to avoid that we've actually learned the hard way in meal kits. So what we're trying to do is find the right multiyear growth formula that allows us to both predictably and sustainably grow both top line and bottom line. And at the same time, this involves making a lot of deliberate investments into building our brand, into improving the customer offering, not overspending in marketing, but basically growing the TAM in line with our customer growth. And we think that a low to mid-teens is sort of like the right level to target for the 2025 period.
Operator: The next question comes from Nizla Naizer, Deutsche Bank.
Nizla Naizer: Great. I think my first question is on the scale of the cost savings that you're planning over the next couple of years. I'm not sure if you wanted to dive into this at the CMD, but some color would be great on how large each of these measures are expected to be over the next couple of years? Do you have a number in mind that you're working towards? Some color there would be great. And if you think you'd want to dive into that at the CMD, I'm happy to ask another question as well, but I just wanted to check that to start off with.
Christian Gartner: Nizla, it's Christian. Yes, indeed, I would love to take you through that at the CMD in 10 days. So bear with me. We just don't want to steal our thunder, given that this will be one of the key building blocks. But we have a number in mind and I'm actually very much looking forward to take you through the building blocks and also some of the time lines involved.
Nizla Naizer : Great. And then mabybe, Christian, I can ask you another relevant question related to the release last night where you had made a statement that the consumer in the U.S. is seeing some softening, and that might be affecting your outlook as well. Could you give us some color there as to what you're really seeing, how that would impact sort of Q1 maybe? And is it just related to meal kits or are you seeing it in RTE as well? Some color there would be great.
Christian Gartner: Look, this channel macro, which is not exactly blue sky in the U.S. at the moment, is something that we are seeing, that we are certainly seeing for some of our smaller competitors in that market as well and hearing from substantially all consumer companies and grocers in the U.S. Yes, so we see it as well, and that's baked into the -- at least the status quo is baked into the guidance that I've given to you.
Operator: And the next question is from Andrew Ross, Barclays.
Andrew Ross: I just wanted to kind of double click into the meal kit top line guidance in '25, which is a decline greater than has happened in 2024, just to make suer we're completely clear as to why that's happening. Am I right in saying that the behavior of existing customers has not changed at all and it's kind of doing what you think? And this is still all about adding fewer new customers into the funnel? And then just to understand why the meal kit declines are not moderating as you lap up against adding fewer new customers, having dialed back in customer acquisition in 2024. Is that just because you're going even harder on dialing back on customer acquisition into the back end of '24 and into '25? Just to make sure I kind of fully understand the moving parts. And then in '26, I appreciate you're not going to guide, but directionally, things should then start to stabilize in the meal kit business as you work through this kind of dial back in marketing. Is that a good way to think about it?
Dominik Richter: So top line growth is definitely like a function of our investment into marketing. I think we deliberately chose to win over fewer new customers for the last 6 months already. And obviously, this has an impact on the go-forward growth as well. As you've heard Christian say, we anticipate a further step down in our marketing investment levels. And those 2 things taken together will lead to a temporary deceleration of meal kit revenue. For us, the next larger customer acquisition period is the back-to-school period. By that time, we want to have a much improved customer offering on the market. And as you rightly said, we think that by having a much improved customer offering that serves a larger part of customers, a larger TAM, we will eventually have a much better product at better profitability levels so that we can return to growth. This -- I don't want to give a sort of like a time line here, but I think the overall strategy is very clear and is very deliberate here. We've started to take down marketing massively over the last 2 quarters. We've acquired fewer customers that extends now in a smaller, but higher-value customer pool with a higher number of orders. But obviously, you see that revenue impact in the beginning, the higher orders and the better value customers play out in the long run because they're placing more orders over their lifetime. And this is what explains the further deceleration of our revenue.
Operator: And the next question is from Marcus Diebel, JPMorgan.
Marcus Diebel: Maybe following up on this. You highlighted clearly the reduced marketing spend in particular in the U.S., and you showed the curves. As a result, we've seen a 10% decline of revenues in North America and 5% in international. Could you just help us understand why international should sort of like face the same development, i.e., you cut marketing costs potentially harder similar to the U.S. in early markets like the U.K. or Germany. Are those markets from your view, just generally more resilient and the kind of like developments that we've seen in the U.S. are not going to come in your view in those markets? Or is there a chance that they just come later?
Christian Gartner: Marcus, so I would say a couple of things. One is it's definitely helpful if you have a look at this page on differential in terms of marketing spend in the meal kits area between the 2 operating segments that we on purpose put into that presentation that you have that, which is then in new information. So what this shows is that we effectively took down marketing spend in the U.S. earlier and harder. This has an impact. This marketing spend otherwise would have been very unproductive if it wouldn't have a differentiated impact. For international, as I tried to allude to a couple of minutes earlier, this is a composite of a number of markets, including a number of markets, which are somewhat more early stage in their life cycle. The most important one there for us is France, where we are deploying more marketing spend actually than we've done in the year before at very good ROIs. And therefore, the overall development of international is somewhat different than in North America because of these 2 reasons here. I hope that's clear. In terms of our marketing ROI threshold that we apply, that is not different between the 2 segments. So we're seeking the same return on investment on our marketing spend across the group.
Marcus Diebel : Okay. But just specifically, if we exclude this mix effect, I understand that there are some markets where you recently -- relatively recently launched. But if we just look at Germany and the U.K., where I would argue these are sort of like older markets and a bit more comparable, do you see similar effects potentially there or not?
Christian Gartner: So we don't necessarily discuss trends in individual markets. But what I would say, overall, in North America, we spend more in the prior period, and therefore, what we dial back is somewhat more in relative terms. And that applies to Germany and the U.K. as well, i.e., we spend less than in North America before. And therefore, the pullback is somewhat less pronounced.
Operator: And the next question is from Christian Salis, Hauck & Aufhaeuser.
Christian Salis: I've got one question left actually, and this is around the European Ready-to-Eat product. Could you just give a little bit more color here on how satisfied are you with the market launch in Germany in RTE? And what was the initial customer feedback you received? And do you plan to make any changes to the product following the pilot launch? And is the product any different to the U.S. Ready-to-Eat product?
Dominik Richter: We're quite happy with the consumer demand that we're seeing. We're actually like trying to throttle that a little bit and not go in too hard right now. There is definitely still a lot that we need to do around the product. If you compare our European RTE product versus our U.S. RTE product, then the menu size is less than half of what we offer. Hence, also like we don't offer all the dietary preferences that we actually offer in North America in RTE. And a big, big focus area for us over the course of 2025 is in-sourcing large parts of our food manufacturing because right now, we are very limited in terms of the product variety and the menu size that we can offer with our setup. So consumer demand, search volumes, generally like early satisfaction levels look quite promising. I think it's early days. I also wouldn't sort of like interpret too much into it, but it definitely gives us the confidence that we want to build out our assortment, build out our menu choice, and that is something that goes hand-in-hand with doing large parts of the food manufacturing process ourselves. That's what we're investing in right now. And over the course of the year, we hopefully can upgrade the product meaningfully for our European RTE customers as well. And then with a better offering, kind of like continue scaling up and capturing more of the demand then hopefully at better unit economics and with a much improved customer offering that really makes customers retain for the long run and make has them place as many orders as possible.
Operator: The last question comes from Luke Holbrook, Morgan Stanley.
Luke Holbrook: I just want to have a clarification question on how you expect the North American meal kit to trend to stabilize? Because I think on the last earnings call, you had indicated it could be the first half of 2026. So I just wanted to get clarification on that. And then just wanted a question on the utilization of factors facilities and whether that's played into the way that you're thinking about investing in demand this year?
Dominik Richter: Look, I appreciate the question, but we don't want to currently like give an exact date when we expect that. I think second half of this year, you will see a much improved customer offering. We've invested in higher-value customers, which should continue to place more orders for longer, but we don't want to give like a specific date right now. On your utilization question, so it's not that we're over utilized in RTE in North America, but there's a quite complex network involved. So the vast majority of meals we produce ourselves. There are some meal types that are produced by co-mans and other suppliers that we have structuring that network for best efficiency, how to assemble the different meals that are being cooked and manufactured in different buildings. That is certainly something that is a key consideration in how quickly we want to scale up. And we want to make sure that we scale up our supply chain at good margins, that we improve the customer offering, that we build the brand, that we diversify our channels in lockstep and don't get into the same situation that we had in meal kits where demand was running away very, very quickly, and we didn't invest as much into all those other things that you need to do to have a predictable and sustainable growth path.
Operator: And as there are no more questions from the audience, I'll hand back for closing remarks.
Dominik Richter: Thank you for attending this preliminary earnings call for Q4 and full year. We aim to share a lot more information, both on the improved customer offering as well as on our efficiency program at our Capital Markets Day in 10 days. Hope to welcome and see as many of you as possible at that date. Thanks a lot, and see you soon.